Operator: Thank you for joining us for the Middleby Third Quarter Earnings Conference Call. With us today from management are Selim Bassoul, Chairman and CEO; Tim Fitzgerald; CFO; and David Brewer, Chief Operating Officer, for the Commercial Foodservice Group. We will begin the call with comments from management and open the lines for Q&A. Instructions for getting in the Q&A will be given at that time. Now, I'd like to turn the call over to Mr. Fitzgerald for opening comments. Please go ahead.
Tim Fitzgerald: Okay. Good morning, and thank you, everybody, for joining us today on our Q3 conference call. As Mariale said, I'll go through the financials of each of the segments and some overall comments on Q3 and then we will open up the call to questions. Our Commercial Foodservice segment sales for the quarter amounted to $471.6 million, which included an increase of $106.3 million related to acquisitions completed within the last 12 months, most notably Taylor. Excluding the impact of acquisitions and foreign currency, sales for the quarter increased 4.1%. The increase in sales reflects growth of 7.1% in the domestic market with increased sales to restaurant chains as we begin to see benefits of a develop pipeline of customer opportunities with many of our new technologies. International sales continued to be soft with the decline of 2.2%, reflecting a challenging environment in the UK. However, we are seeing improved conditions and opportunities in a number of emerging markets such as Latin America, India and Russia, which should reflect favorably in upcoming quarters. The gross margin during the quarter at Commercial Foodservice was 37.2% as compared to 39.5% in the prior year quarter. Excluding the impact of acquisitions, the gross margin rate would have increased to 40.8%. EBITDA for Commercial Foodservice Group amounted to $125.4 million and 26.6% and includes the dilutive effect of recent acquisitions, most notably the recent acquisition of Taylor. Excluding the impact of recent acquisitions, the EBITDA margin increased to 28.8% versus 27.7% in the prior year quarter. The margin improvement reflects a favorable mix with sales of higher technology equipment and the continued benefits of efficiency gains at companies acquired over the last several years. We continue to focus on profitability improvements at Taylor and other recent acquisitions and remain confident in the expansion of profitability, with targets to expand margins at the recent acquisitions consistent with levels of the overall platform. At the Residential segment, sales at the group amounted to $153.5 million. Excluding the impact of foreign exchange, the net sales increased 1.8% for the overall group. Domestic sales increased by 9.2% as we continue to see strong order rates at Viking. Sales at Viking grew by over 15% as compared to the prior year quarter. And we also realized solid growth amongst the other domestic brands including Marvel, Lynx and U-Line. The domestic growth has continued to be offset in part by lower sales at AGA Rangemaster as international sales declined by 9.9%, reflecting the challenging market conditions in the UK, which have been impacted by Brexit. In addition to declines at non-core businesses including Grange, a furniture company that was acquired as part of the AGA acquisition. Gross margin at the Residential group improved to 36.9% as compared to 35.7% in the prior year period, while EBITDA margins improved to 18.1% from 16.5% in the prior year. The margin improvement reflects increased profitability at our domestic brands, driven by higher sales at Viking along with the benefit of efficiency gains from manufacturing and distribution initiatives. Margins at the AGA business remained flat with the prior year and savings from integration initiatives were offset by the volume decline. The non-core businesses including Grange detracted from the EBITDA margins by approximately 2% in the quarter. We announced the closure of this business, Grange, during the quarter and anticipate this effort to be completed by the end of the year. Grange had recorded an EBITDA loss of $1.3 million, which is included in the results for this quarter. And for the full year of 2018, we report an EBITDA loss of approximately $5 million. Moving onto Food Processing segment. Sales at the Food Processing Group amounted to $88.3 million and net sales from acquisitions accounted for an increase of $11.7 million. Excluding the impact of acquisitions, sales decreased by 11.9%. And excluding the impact of foreign exchange, acquisitions and the adoption of ASC 606, the sales decline amounted to 14.3%. Gross margin at the Food Processing Group was 34.7% as compared to 40.5% in the prior year and the EBITDA margin for the quarter was 18.4% as compared to 25.9%. Margins at this business continued to be significantly impacted by the lower sales volumes and mix impacting our meat processing division, which has the highest margins. The lower margins within the group -- so, the lower margins were impacted by the mix and the volume, as I said. Although, we have seen the unfavorable impact of the volume, we are seeing an increase in order rates, which year-to-date our order rate has actually increased by 10%, and that's given us the confident that we'll see improvement in both the topline and a return in a more profitable sales mix as we head into 2019. Couple other comments on the quarter. During the quarter, we recorded restructuring charges of $12.1 million, $8.7 million of this charge related to the closure of the non-core Grange furniture business. But the remainder primarily related to continued integration initiatives at AGA Rangemaster and also Taylor. This charge impacted earnings per share by approximately $0.16 for the quarter. The third quarter was also the first quarter with Taylor included in our financial statements. Included in the results of Taylor was $4.6 million of nonrecurring purchase accounting adjustments to write inventory at the fair market value. The impact of the fair market value adjustment was approximately $0.06 per share for the quarter. As a result, Taylor, inclusive of this fair market value adjustment was diluted by $0.09 per share during this initial quarter. We anticipate that Taylor will be neutral to EPS in the fourth quarter as the fair market value adjustment will now recur and we begin to realize the benefits of profitability initiatives late in this year. We remain very excited about the opportunities at Taylor, and from a profit perspective, our focus on integration efforts to improve the EBITDA margins to approximately 25% in 2019 and 30% in the longer term. Adjusting for the impact of restructuring activities and the initial diluted impact of Taylor, earnings per share amounted to a $1.56 in the current quarter. Now, as it relates to our cash flows. Cash flow generation remained strong during the quarter and amounted to $105.4 million and for the first nine months of the year was $252 million. And this is a cash flow increase of $47.1 million from $204.9 million in comparison to the first nine months of 2017. Noncash expenses added back and calculating operating cash flows amounted to $31 million for the quarter and that included $9.9 million of depreciation expense, $17.6 million of intangible amortization and $3.5 million of share-based compensation. During the quarter, the Company utilized $8.3 million to fund capital expenditures, primarily related to investments in manufacturing equipment and enhanced production capabilities. And net debt at the end of the quarter was $1,881 million and this compares to $939 million at the end of fiscal 2017 with the increase reflecting the funding of the acquisitions, including Taylor. And the Company's net debt to EBITDA leverage ratio at the end of the quarter was just under 3 times. So Mariale, with that, if we could open up the call to questions.
Operator: [Operator Instructions] And our first question comes from Mig Dobre from Baird. You may proceed.
Mig Dobre: Good morning, guys. Good to be on your call here. My first question is on commercial foodservice. I want to dig in a little more on organic growth, the core growth. Maybe a little more color on the 7% growth that you had in the U.S. business. How sustainable you think this is and how should we be thinking about growth going forward, particularly if some of these drags in international start to subside? Thanks.
Tim Fitzgerald: So, Mig, we’ve been talking for a number of quarters now about line of chain opportunities. So, we do feel pretty positive about that. We’ve got the pipeline built, we’re starting to see some of the initial benefits of that. Always the timing of chain business is questionable from quarter to quarter. But, we feel that we’re kind of back to sustainable growth in the U.S. And market conditions, late in the year show improvement, generally even beyond the chains relative coming into the year. Dave, I don’t know if you have any other comments on...
David Brewer: Yes. So, the numbers you’re seeing are a result of what we’ve talk to everybody on the phone about for the past four or five quarters. And those numbers -- those rollouts along with the smaller programs around the regional brands are coming through. And that's what you’re seeing. And then, if you start looking forward, I can’t -- obviously from a confidentiality perspective, we just find in the last week three independent rollouts that are going to start giving order through quarter through next year on retail grocery, QSR and fast casual. And the exciting part of that is it’s all -- it’s the same story of our best technology, our high-end technology that creates that ROI for our customer. We have three distinct new programs just starting, so that it’s overlapping what we promised was going to happen a year, year and half ago into the fourth quarter into full year next year.
Mig Dobre: All right. That's helpful. Also want to talk little bit about Taylor and the integration progress there. You mentioned targeting 25% margins in 2019. But I seem to remember you saying that you might be able to achieve 25% exiting 2018. Can you maybe parse that out for me a little more?
Tim Fitzgerald: So, essentially, that’s the same comment. So, we’ve been working hard with the team there or the team has been working hard really on a whole host of opportunities to improve margins from SKU rationalization, the efficiency and certainly we’ll be focused on innovation going into next year. But with the actions that we’ve taken so far, really we think that the business is positioned to enter 2019 kind of at a 25% run rate. I mean that will flow from quarter to quarter, depending mix and volume. But essentially, that is where we expect the margins to be headed into 2019. A lot of those initiatives have really taken place already.
Mig Dobre: And last question for me. The core gross margin excluding acquisitions in commercial foodservice, I think I heard you on the call say that it was up 20 basis points year-over-year. Obviously price, cost has been a real challenge for everyone. That does not seem to be much of an issue for you in a quarter here. Should we expect something different going forward? I know, there is additional tariffs that came in. Any impacts that we should be aware of?
Tim Fitzgerald: Yes. So, I'll just repeat the numbers. I mean, our gross margins were strong, commercial 40.8% when you back out acquisitions relative to 39.5%, and EBITDA margins expanding to 28.8% versus 27.7%. So we did have some nice margin expansion. But, a lot of that is efficiency gains, some of it is favorable mix with new product, and Dave touched on some of the continued wins that we are having there. That being said, it doesn’t mean we are not facing cost challenges because we certainly are. We had steel prices go up earlier this year that was probably -- we started to see that in the second quarter, the impact of that really started to come through in Q3. We did have a midyear price increase that we instituted, so that largely offset that. But, we do have this other wave of tariffs that is coming through that really has not impacted us in full in Q3. That's really more of a Q4 and into 2019 challenge. And we are seeing a lot of cost increases with that. So, that will have some impact in Q4 on the margins. That being said, we have just announced other price increases. So, literally announcements have gone out in the last week here of pricing actions that we are going to be taking going into 2019. That would be in conjunction with our normal annual price increase but those increases will be higher than ordinary to offset the impact of tariffs. So, we do expect that there is probably going to be a little bit of a gap here but we will be able to offset the increased cost of tariffs going into ‘19. So that we’ll be able to initialize that from a margin perspective next year.
Mig Dobre: So, gap in the fourth quarter, better in 2019?
Tim Fitzgerald: Yes.
Operator: And our next question comes from Larry De Maria from William Blair. You may proceed.
Larry De Maria: Can you just talk about the full year ASC benefit in processing for sales and profits? And when you compare that to the -- I think you said you had better orders in processing. Does that imply that moving into next year, I'm thinking really more of 2019, and if you pull forward some sales and profits, does that imply next year it’s down or maybe neutral because of the better orders? So, how do we think about that from a high level?
Tim Fitzgerald: So, I will be honest with you. I’m probably not -- I shouldn’t say this but I’m probably not the ASC 606 expert. But big picture, coming into this year, we did have a big benefit in the first quarter in a lot of ways. The accounting guidance was we were re-recognizing from last year as you apply the new accounting principles. That’s kind of gone away. And a lot of the impact that we're having even in this quarter's is really just how it flows from quarter to quarter. We’re not rerecognizing a certainly revenue from ‘17. It's what the impact would have been, would it have been normally recognized in Q4 or in other periods. So, I think as we go into next year, we will have kind of more of a normalized situation where ASC 606 will be applied consistently year-over-year. The order rate is totally separate from ASC 606 which is accounting. So, we’re pleased to see orders kind of coming back on line. It is certainly not where we want it. Some of the larger projects that have been out there still are out there, and we’re working on closing some of those, although we've seen some come in. The mix helps us somewhat as some of those have been -- some of the backlog is coming some of our meat business and some of the higher margin companies, which that's really what's hurt us quite a bit this year. The order rate on some of these projects, because they are some of our longer term projects, we are hopeful to see improvement in Q4. We’re kind of cautious on what improvement means, but better than Q3. And I think we can probably come back into growth as we go in the 2019 if we continue to kind of see this order rate throughout the rest of the year, as well as having a better backlog, which by all measures right now, looks like we have a better backlog going into ‘19 and we did coming into ‘18.
Larry De Maria: Okay, thanks. If I could, just follow-up on that -- asking my second question. Is the order volatility due to tariffs or pricing, like it was earlier in the year? And secondly, you guys adding back million [ph] of acquisition-related inventory step up, seems kind of unusual. Has that happened before, and just what’s -- is there anything specific driving that? It seems unusual to happen.
Tim Fitzgerald: Okay. So, I guess taking that in reverse order. I don’t know if that’s a good way to do it. But the fair market value adjustments, so that was Taylor related, we do have that regularly. So, anytime we buy a company, which is all the time by companies, we have step up. So, we take their inventory and we have to write it up to fair market value. And then, we basically sell it for no profit, which is not the economic reality. But that's kind of how the accounting rules work and it always impacts our EBITDA and our gross margins in that first quarter. It’s just a bigger number. So, Taylor's is a much larger acquisition. We did a whole bunch of other acquisitions and they’re much smaller companies, not so impact full to Middleby. So, we’re pointing it out because it causes Taylor to be fairly dilutive in that first quarter and it’s a non-cash, nonrecurring items. So, that's kind of why we’re pointing out but it does happen to us all the time and it’s kind of embedded in a lot of the -- probably that first quarter after anytime we do an acquisition, you see that.
Larry De Maria: But, you guys -- stepping it up, is it normal to step it up or do you have to step it down?
Tim Fitzgerald: No, you’d always step it up. Yes. That is normal. I mean, that is the accounting rules. And so long as the inventory is less than what you would it for and even companies with lower margins have gross margins of 20% or better. So, you are always stepping it up to basically what the sale price is. And inventory and that I'm sure people want to hear, accounting -- dissertation on a conference call you. But, you basically take your inventory and you step it up to what the sales price is. So, whatever is sitting there in inventory, you are going to be selling it for little than margin out of the gate. So, the more inventory you have, the bigger the companies, the more impact that it would have from
Larry De Maria: Yes. I will take it offline. Sorry about that. But, just benefit...
Tim Fitzgerald: Just kind of going to the other question you had, which was food processing. We live and die by the big orders right. So, that’s kind of the beta of the growth. There is 5 or 10 projects a year in any given year that it will cause us to be up double-digit or down double-digit. Unfortunately we have had a dry spell, a to a lot of time these projects come in emerging markets we’ve got projects in Thailand, in China, Brazil. We have been working on a number in markets. Ongoing right now in Russia, Middle East and in Asia. Some things have been slower to come through. And I think that goes back to how we've always talked about this business, which is it's a lumpy business. And it continues to be lumpy. It’s still a great business, it’s high technology. The margins are struggling a little bit right now because obviously the volume getting hit at the higher margin businesses. But, we do see a pipeline obviously -- or as I have mentioned, we are seeing orders up. So, that bodes well. We are still below what we consider our run rate trajectory but see improvement going into next year and are hopeful with some of the opportunities that we see in the international business. And that’s been one of the areas that we focus heavily on as we’ve been building -- the platform is really pulling a lot of these brands into markets that they haven't been before, putting together full line projects. And that's really an advantage that we can offer to our customers with a complete system. And we’ve had a lot of success with that, but projects are going. So, I think when they're there, we will get our fair share of the business and we gain market share in these bigger opportunities.
Operator: And our next question comes from Jamie Clement from BRG. Your line is now open.
Jamie Clement: If I could just delve a little bit more into pricing, specifically on the margins. If some of the protein projects start coming in 2019, you'll have some time to continue to integrate some of the recent acquisitions. Is there any reason why if that business line starts to coming back and generating orders, why you can't be reporting mid-20% EBITDA margins in quarters next year?
Tim Fitzgerald: No, there is not. I mean, we are obviously very disappointed with the EBITDA margins. At the end of the day, they are not -- they are 18%, 19%, they are not bad margin, and we’re not losing money but we’re very disappointed with them. But, it drops because of the mix. So, it’s not something structural or fundamentally you get some orders in those higher margin businesses and those margins can come back up very quickly. So, yes, the answers is that. In addition to that, we have had a lot of acquisitions in food processing over the last 18 months. So, there is a also a drag to margins because just the typical Middleby situation, which is you buy a company and it’s lower margins than the average and we spent the next couple years bringing it up. So, you have that kind of also embedded in the platform. And a piece of that is bakery versus meat. So, bakery is still lower. It's coming up but lot of the acquisitions we've done have been within Bakery. So, Bakery is king two steps forward, one step back. We’re making progress on efficiencies but we’re buying more companies in bakery at the same time. So, it’s kind of keeping the margins of bakery lower. But that’s all part of building the platform, and we will continue to integrate those businesses. Bakery will come up, hopefully we’ll get some of the orders in some higher-margin businesses. And then you could then see what you're talking about where you get your margins back up to mid 20s like numbers.
Jamie Clement: Like where you were in the third quarter last year?
Tim Fitzgerald: Yes.
Jamie Clement: Dave, if I could ask you a quick one, because you were talking pretty quick. I think mentioned that some of the three new piece of business that you signed recently. Did you say QSR fast casual and grocery store. Is that right?
David Brewer: Yes, I did.
Jamie Clement: Are those new customers for Middleby or those similar trends or mix of both.
David Brewer: Mix of both but the key point there they’ve all been single sourced. And those are actually incremental for the program. I just pointed out the three of there -- we talked about the portfolio rollout that we have. But, those are the mix of both which are great news. And the reasons behind single source are also great news from an engineering and ROI perspective. The customers are understanding the best technology that we have. So, it’s very encouraging very, happy about the way the brand, the Middleby has responded but leadership team is doing a great job.
Operator: And our next question comes from Jason Rodgers from Great Lakes Review. Your line is now open.
Jason Rodgers: I wondered if you could talk about AGA where you guys are now in the restructuring, and what’s the general outlook there?
Tim Fitzgerald: So, before I go to AGA, just to repeat, we’re pretty pleased with what's going on domestically with margin expansion there, topline is moving at Viking. So, it’s a bit tale of two cities where we’ve got things hitting on lot of cylinders, now domestically. And the last quarter, we talked about distribution, integration, and that -- so ongoing a little bit but that is largely behind us too. So, I think a lot of positives on the residential side of the platform. Domestically from AGA, restructuring is going very well. The cost structures is in a much better place. We did a lot to move -- there is the Rangemaster business and there is the AGA business. The Rangemaster business is already kind of well north of 20% EBITDA margin, so it’s really the AGA business that’s been a lower margin. A lot of the focus there has been closing the foundry which we announced last year but really haven't gotten the full benefits of the cost yet. And actually some of the minor restructuring with AGA was really the final exit of that or write-down of some of the facility costs. But we are moving to a new product line which is launched late this year going into next year which will have higher margins. And so, there's a lot of heavy lifting is behind us. So, as we have had significant declines at AGA, the margins haven’t declined in there. So, we would have liked to obviously gotten the benefits of these and just being flat, revenue would have gotten a nice margin boost there. So, really, the challenge is the topline and what's going to happen in the market there. As we have tracked the market, the premium market is actually down more than our AGA brand. So, we think we are not losing market share, we may be even gaining market share with Rangemaster. But, it is a difficult market condition. Now, I think going into next year, we are going to be overlapping some pretty large declines, I mean, roughly 10% for the year in the UK market. We unfortunately don't have a crystal ball. We’d would like to think that market conditions flatten out or maybe improve and we will start to get some of the benefits of initial new product launches, certainly with AGA, but also some new products with Rangemaster, which I think those will accelerate more into 2020. But hopefully, a better backdrop from a topline and then that'll translate to the bottom line.
Jason Rodgers: And then, what's the timeline for introducing AGA to the U.S.? And how will that work with the Viking products, those two alongside each other?
Tim Fitzgerald: So, we have been introducing AGA to the U.S. this year. You will find it on a number of dealer showroom floors. It is in the Middleby showrooms. So, we’ve got our new showroom that we just opened in the New York, which actually has a number of AGA products there and in Chicago as well. It’s still a small line of products because we do not have all the sizes. Right now, we have got 48-inch products. We will be focused on launching 36-inch products, which is where the larger part of the U.S. market is. The products are very exciting. So, different styling than Viking. So, really kind of broadens out our whole platform of technologies and designs that we have really across this great portfolio of brands and products and that has really been the vision of really having these leading brands and products similar to what we have on the commercial side of the business. And now that goes to the distribution and leveraging that and really having everything that a consumer would want kind of all in one package within Middleby. Dave?
David Brewer: Yes. I would add two things to what Tim is saying, is one, as we brought AGA into the space, we have that after sales service and support, the parts and the ability to take care of those customers is fully embedded. So, we’re tracking; as we evolve the business, we’re leading with our ability to take care of the customer with these brands. And the second thing I would encourage everybody on the phone to do is to go to our showrooms. These showrooms are very powerful and it really demonstrates how we’re lining up the AGA brand with the Viking brand. Go in and talk to people there and I think it’s a great visit, really shows off how we’re managing from a brand standard, the AGA brand and the Viking brand, which is I think near perfect in those showrooms. And it’s right there for you.
Jason Rodgers: Sounds good. Just Tim, tax rate for the fourth quarter, any thoughts there?
Tim Fitzgerald: I think it’d be fairly consistent with what we saw in Q3, so, in the 25% to 26% range.
Operator: Thank you. Our next question comes from Jeff Hammond from KeyBanc Capital Markets. You may proceed.
Jeff Hammond: So, can you just talk about the core trends in Taylor, how it performed? And then just on inventory step up, is there carryover of inventory step up in the 4Q?
Tim Fitzgerald: So, the setup is done. So, Taylor -- I mean it is our first quarter. I think, it’s going to -- there is not necessarily trends to take out of the quarter. I think initially, we’re focused on frankly some product line simplification. We did reduce the SKUs by quite a bit. Typically, this isn’t necessarily a trend but typically we buy a company and we do try to simplify and focus on the core that’s part of the profit initiative in us getting to 25%. So, it's literally like 40% of the SKUs, which accounts for about $10 million of the revenue of the business that we’re exiting. We hope to make up some of it in other -- and shifting the sales to some of the other products, although there may be some sales loss there. There is some good opportunities with chain customers there and things that the Taylor team had been working on before we arrived. So, I think that's all positive, some large customer opportunity. But, I think we’ll talk more about trends as we move into 2019 on the next quarter. I don’t know, Dave, do you have anything else to add?
David Brewer: No, I would just say that Tim and I both spent a week last week with the Taylor leadership team, getting our hands dirty with some distributors. And I know the Taylor team is listening in as we speak. And so, I would tell you and them that I couldn't be happier with the results they’ve gotten on rationalization of product lines. The work they are doing on the supply chain is just phenomenal. They are right on schedule. Tim and I done this 40 to 50 times, they’re doing as well as anybody. And the innovation, they are accelerating their innovation in new products. And there manufacturing changes are right on schedule. I couldn’t be happier with the team and they are right on schedule, little bit ahead. And we will not back off that pressure.
Jeff Hammond: Okay, great. And you mentioned that the wins in commercial. Can you just talk about what you’re seeing in the general market? And how do you think work shapes up, given some of these bigger wins, do we see an acceleration in that domestic growth into 4Q?
David Brewer: So I think we’re going to see a continuation into Q4, I mean we were pretty solid with the chain business. The general market which was softer in the beginning of the year did sort of revert and pick up in Q3. So we expect that to continue into Q4. So I would see fairly similar in Q4 with some pretty good set of opportunities on the chain side of the business going into '19.
Jeff Hammond : And then just quickly on food processing. 4Q I think you said a little bit better. Should we think of that comment as in sequentially or year-on-year on a core basis?
David Brewer: I would take it as sequentially.
Jeff Hammond : And then I guess with the order growth in Food Processing, I mean that seems like as long as we stop seeing these deferrals, you’ve got pretty easy comps and a building backlog. So that’s set up pretty well.
David Brewer: Yes, yes. I mean it’s promising. Honestly, it’s not, again, great, where we wanted it though -- there is some good things in the pipeline. Certainly 2018 is not a barrier by any means. So I mean I think we should be set up to have a pretty good opportunity in '19 off of a weak ‘18.
Operator: And our next question comes from Walter Liptak from Seaport Global. Your line is now open.
Walter Liptak : I want to ask a couple of follow-ups. On Taylor, last quarter you said that it was going to be about 140, 150 in the back half. We’re looking at how much revenue was Taylor this quarter and is it still going to be back half or back quarter loaded?
Tim Fitzgerald: When you said back half -- so it was in the low 70s in Q3. That is still the range. In Q3 there was a little bit of disruption, just throughout the company we actually shut down operations for a week to do a physical inventory. There’s transition items going on and some of that affects revenues in the year, but that is not the guidance for revenues roughly in the back half of the year.
Walter Liptak : Right. So the Taylor is new and you are going through this product line simplification and I think you called out 10 million. So when you bought it I think it was about 315 million, so certainly a run rate now of about 305, is that a good base to use looking at next year?
Tim Fitzgerald: Yes, I think that’s fair.
Walter Liptak : And you also talked about a 15 million profit improvement I think in 2019 versus '18, the EBITDA margin of 25%. Is that still on track?
Tim Fitzgerald: Yes, that is on track.
Walter Liptak : And then I want to ask Commercial Foodservice, and one of your competitors had a little bit of problems with price costs and other things. I wonder what are you thinking about the pricing environment for the fourth quarter and I guess how things were for pricing in the third quarter?
David Brewer: Well, yes, I mean as I mentioned earlier, we are taking price increases in ‘19, I mean I think it's pretty broadly understood that our substantial headwind to all domestic manufacturers and we are seeing a number of other companies alongside take pricing increases also to try to offset that. So I do think that is the market backdrop and we have made announcements already that to our customer base that we are doing that in ‘19.
Walter Liptak : I guess I was wondering more about price discounting pressure especially in US?
David Brewer: I think from a Middleby perspective, and I was talking about that and I think that’s something that we’ve always been disciplined on and we focus on sale on return on investment with our customers and demonstrate the value that it delivers to them with a payback and that is really our sales process. So we’re very focused on that discounting.
Walter Liptak : And one more if you don’t mind. The -- I understand Commercial Foodservice being weak internationally because of weather in the UK but I wonder, when will we start to see international start to get a little bit better, also I think you could have other parts of the world outside of UK that start to improve during the pipeline or funnel of projects that we can talk about it?
David Brewer: International has also been softer year and it's not unusual I mean Middleby, historically we will have a high growth and then we will kind be down, we do touch a lot of emerging markets and that is our strategy and we’ve had a lot of investments in a number of the markets that we mentioned earlier, India, Brazil, China, now opening Russia, Middle East. So those are the markets that we want to be -- that we think that we will have outsized growth in the long run. We’ve kind had a mix this year in those emerging markets. We’ve had something chains that have grown faster and reset. We’ve had some markets that have had conditions such as Latin America, which that was recovering from both weather and political issues and then we have softness in the UK. So I think going into next year unfortunately I think UK is a market that we do have, that is our largest single market outside the US, and I think we do have a backdrop there that will be challenging but I think in a lot of the other markets we’re seeing momentum in more than hitting on more cylinders firing next year than this year as we go into ‘19, China probably improving. What we saw this year with our customer base, India, the same way I think we are well-positioned there, Latin America also improving. So I think a lot of these are these markets will be doing better and that'll help offset whatever the condition is in the UK, which I would just say is uncertain to us right now.
Operator: And our final question from today comes from George Godfrey from CL King. You may proceed.
George Godfrey : Could you share book-to-bill on the Food Processing segment or a comment is it all over 1?
David Brewer: Yes, I mean it would have been over 1. I don’t really have that metric, maybe that’s a something we will start considering reporting in future periods. It’s one that -- but it’s not a metric that we have reported, I don't actually have it handy but it would've been over 1.
George Godfrey : And then, if memory serves the revenue breakdown in that segment was roughly 75% meat processing and 25% bakery, post the acquisitions, is that still the case?
David Brewer: You know what? I don't have it here but it is shifted a little bit because we've been hit more in meat. So I would venture to guess from recalling it, right now it's probably more like two-thirds one-third. And that’s part of the impact with the margins here.
George Godfrey : Yes, because meat has a higher margin than bakery, right?
David Brewer: Yes, so bakery has grown partly through acquisitions so it’s becoming larger than meat is where we have been hit with the orders the hard, so that it’s kind of been a double one in there.
George Godfrey : Okay, so that was my final. The other thing I want to follow-up on is so the bakery got hit as well as the meat but the meat is the larger portion, that’s why you called out that in the press release?
David Brewer: Yes.
Operator: I'm not showing any further questions at this time. I would now like to turn the call back over to management for any closing remarks.
Selim Bassoul: Tim and Dave I'm going to make some closing remarks. First, we want to thank everybody who have been with us for a long time, some of you analysts have been with us for a long time, investors who believed in us. And I want to give you a little bit of flavor of where Middleby is going and where the industry is going, from my perspective, having being in now for many, many years. So from the macro standpoint, I see a shift from traditional dining to delivery and fast service. Millennials are choosing more convenient fast paced chains with fresh alternatives, a sweet spot for us, where we are very well positioned with fast casuals. The second trend I see is open kitchens. This forces operators to replace their equipment like ovens, fryers, soup warmers, counter-top equipments like toasters, grill, with bright colors and the new equipment would feature sleek touch screen instead of bulky buttons and knobs. So we do see some replacement of business tools of equipment toward more sleek looking, I am not saying it’s going to be like Viking but it’s going to most probably start moving toward this trend. Number three, something we have been aware of for years. Labor is a critical issue for operators across the globe. Finding workers is a problem and the cost of labor is rising tremendously. We at Middleby have been at the forefront of labor saving equipment for over 10 years. Our vision which I have stated many, many times on conference call or with customers of seconds and inches is what’s driving our R&D to innovate by improving efficiency and reducing labor as western kitchens are getting smaller. The trend is for equipments that are smarter, smaller and easier to operate, equipment that saves on labor and makes things easier with technology that is simple. This is the trend. Less labor, less training, more included, smaller, easier to operate. A few months ago I was as a VP of Operation of one of the largest fast food chains. He told me that they have over 350,000 open position throughout their system that they are unable to fill. It is truly holding them back. Their only option is to configure automated and smart kitchen as well as being more customized and automated on the front of the house. Sustainability is a new buzzword both at the operator and consumer level. Unfortunately, many equipment manufacturing have healthy sustainability in their marketing brochures. However, very few have built a data management system to help the operator track how much water, energy, frying oil as example are used and discarded. We at Middleby our story is our validation and feedback through data analytics. We have worked very hard the last three years driving our smart equipment and our data analytics and we are ready to unveil this system at the upcoming [forum] with almost most of our division to be online with unique data analytics system and the data management system that allows equipment to connect with the end-user and the operators across the system. I would be the first to admit that our industry is not quick to adopt new technologies. However, I can honestly say that starting somewhere in the second quarter of 2018, we are seeing we are starting to gain traction in our new innovative platforms. And I believe that it will accelerate in 2019 and 2020, so I’m very optimistic about that. Now going to -- specifically going from the macro to the micro what are we doing, what have we been doing at Middleby? Two and half year ago we reinvented our self. It was painful. We reinvented our selling structure externally, our distribution system in residential, we restructured many of our organizations, especially internationally, and how we work together. We simplified our business. However, the biggest reinvention has been in term of our investment in equipment innovation. In the past two years, we have been working on the following: In beverage, we have been working on multi-pad dispensers both in sodas, beer and water. In water we are creating dispensers with our forward divisions where we are and dispensing sparkling and still water and adding flavor shops down the road. Water is something our customer could make money on and they want it to be in house. In beverage we've been working on injecting nitro in too many things, into coffee, into tea, and kombucha. In soda, we have working on creating an affordable substitute to customizing soda. And our main patents that differentiates us was our other competitor our only single competitor is the safety of our model in terms of bacteria and no flavor transfers. We have been working on tea dispensing and innovation in that segment. We have invested heavily through L2F our newly acquired division into our Skyflo our automated bot system that chooses artificial intelligence and sensors. On the cooking side we've been working on multifunctional cooking equipment that can perform multiple functions and we have been leading the way into rapid cook ovens. Restaurant kitchen space is always at the premium and through our vision of seconds and inches we have been able to maximize cooking time and minimize space. Delivery and takeout has become a major trend among millennials. We have reformulated our delivery bag and catering systems to becoming ultra light and much more efficient and longer holding. We redesigned our CookTek, holding bags to be lighter and more durable which lessens the strain of employees when carrying heavy pizza bag or food pan to hold on catered events. When you look at our smart cooking technology giving chefs and chain operators the opportunity to connect the equipment with an iPad or a smartphone allowing them to control the temperature and cooking method remotely, ensuring that the food is cooked perfectly. Our next generation of recipe which is preprogrammed inside our cookers includes the option to push out recipes from one corporate hub to individual store and to be tracked via app using the machines as a smart piece of equipment that requires less training. Then I would like to go to waste reduction. Waste is a hot trend especially food waste. We have been working through our [IMT] divisions in the last few years on creating the most advanced food waste system. We are aiming to create along our customers a zero a zero waste kitchen within the next five years. Our waste management system today for food service is very advanced. It work on minimizing food waste, producing solid waste except metal and we’re among the very few that can do both. We can also go from in-house waste compacting to onsite composting and to pulps. The next trend where we’ve been unveiling uniqueness has been freshens. Our Carter Hoffmann and garden fresh unit is unique product that allows individual operators to create their own organic vegetable without any labor required. We allow restaurants now to create a small footprint do-it-yourself herb garden. So they can grow their own herbs lattices, micro green in-house. Let me define -- give you a little bit what it looks like. It has four compartments that can be separately programmed via a touch-screen. To supply the right amount of light, water and temperature for each shelf creating different zone to grow a variety of green vegetable. It’s fully automatic, all they have to do is put the tray of seeds and if they don’t have to do anything else beyond the just name the type of seed they are putting and unit does everything else, we’re highly positive on this unit. The ventless remain a key driving force for us. We’re the leader in ventless technology we allowing new ventless product coming out in early 2019. Let’s give you another flavor of your product called the TurboChef double batch oven. It is a ventless impingement oven comprised of two independently controlled high-speed ovens that produce more food faster especially with its patented oscillating rack. The oven is a space saver with only 27 inches wide and reduces energy consumption by 50%. More impressively, chefs control each oven with it’s fitscreen Wi-Fi connected touch control. This is a little bit a flavor of our future of innovation and where we’re going. I can share with you another interesting innovation from our newly acquired QualServ division. We are the leader in building out restaurant concepts. We have now developed a new grab and go and display unit with both heating and cooling as one unit. Instead of needing multiple pieces, one unit can be programmed via a touch screen to a number of different temperature at once. So I think about where we are going. Our batch oven is no long a prototype. It’s being rolled out at one of our flagship chain restaurant. Our innovation is real not prototypes. Every project I spoke about and every product is now out or coming out within the next eight months or less. So our innovation has been driven through ventless, multifunctional, energy saving, space maximizing, labor saving, and smart connected technologies. For the last two years I'm very proud of how we have reinvented the company. And I want to thank you for sticking with us. Some of you did not understand a little bit maybe the strategy, you were wondering what was going on but we stuck to our guns to pull back so what has been through to us. All along which has been validation of our innovation backed at the customer through payback and now through data analytics and making sure that our vision of seconds and inches is real. This concludes my comments and thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.